Operator: Thank you for your continued patience. Your meeting will begin shortly. If you need assistance at any time, please press 0, and a member of our team will be happy to help you. Thank you for your continued patience. Your meeting will begin shortly. If you need assistance at any time, please press 0. A member of our team will be happy to help you. Please standby. Your meeting is about to begin. Morning, and welcome to Alico, Inc.'s First Quarter 2026 Earnings Call. As a reminder, today's call is being recorded. I would now like to turn the call over to your host, John Mills, managing partner at ICR. Please go ahead.
John Mills: Thank you.
John Kiernan: Good morning, everyone, and thank you for joining us for Alico, Inc.'s First Quarter 2026 Conference Call. On the call today are John Kiernan, President and Chief Executive Officer, and Bradley Heine, Chief Financial Officer. By now, everyone should have access to the first quarter 2026 earnings release which went out yesterday at approximately 4:15 PM, Eastern Time. If you have not had a chance to view the release, it's available on the investor relations portion of the company's website at alicoinc.com. This call is being webcast, and a replay will be available on Alico, Inc.'s website as well. Before we begin, we'd like to remind everyone that the prepared remarks contain forward-looking statements. Such statements are subject to risks, uncertainties, and other factors that may cause the actual results to differ materially from those expressed or implied in these statements. Important factors that could cause or contribute to such differences include risks detailed in the company's quarterly reports on Form 10-Q, annual reports on Form 10-K, current reports on Form 8-K, and any amendments thereto filed with the SEC and those mentioned in the earnings release. The company undertakes no obligation to subsequently update or revise the forward-looking statements made on today's call except as required by law. During this call, the company may also disclose non-GAAP financial measures, including EBITDA, adjusted EBITDA, and net debt. For more details on these measures, please refer to the company's press release issued yesterday. And with that, it is my pleasure to turn the call over to the company's President and CEO, Mr. John Kiernan. Please go ahead, John.
John Kiernan: Thank you, John. Good morning, everyone, and thank you for joining us for Alico, Inc.'s first quarter 2026 earnings call. We are very pleased with our first quarter results and subsequent transactions we achieved in the first month of our second fiscal quarter. We believe this momentum and our enhanced business model in action validates our land monetization and utilization strategy. Let me highlight a few specific achievements in our first quarter subsequent events. First, in the first quarter, we generated $7.7 million in land sales, reflecting the strong demand for our strategically located Florida properties. Second, our net loss improved to $3.5 million from a loss of $9.2 million in the prior year period, and we generated positive EBITDA of $2.4 million compared to negative $6.7 million in the prior period, demonstrating the financial stability we've built through this transformation. Third, with our strengthened balance sheet holding $34.8 million in cash at first quarter end and reduced operating complexity, we believe we are financially very well positioned to execute on our near and long-term plan. Fourth, Alico, Inc. entered into a ten-year lease with Bear Crop Science to establish an agricultural research station on 100 acres on our TRB property located in Charlotte County. And subsequent to quarter end, following the signing of new lease agreements in January, Weco has achieved 97% utilization of our approximately 32,500 farmable agricultural acreage. Lastly, also after quarter end, we closed on an additional sale of a large Citrus Grove representing approximately 2,950 acres for $26.8 million, leaving us within our approximately 46,000-acre Florida portfolio. We believe these results and transactions demonstrate that Alico, Inc. has a business model that will continue to unlock substantial value from its land portfolio while maintaining our commitment to responsible land stewardship. As we look forward, our development pipeline continues to advance on schedule, with Corkscrew Grove Villages leading the way as the crown jewel of our portfolio. The establishment of the Corkscrew Grove Stewardship District represents a significant regulatory milestone, validates our development strategy, and provides the framework for sustainable community-focused growth. This Stewardship District, approved unanimously by the Florida legislator, positions us to effectively finance infrastructure, restore and manage natural areas, and oversee the administration of our master plan communities. I'm particularly excited to highlight our previously announced strategic partnership with the Florida Department of Transportation to design and construct a wildlife underpass as part of the State Road 82 expansion. This $5 million investment demonstrates our commitment to Florida wildlife and showcases the innovative conservation approach that sets Alico, Inc. apart in the development community. We remain on track for an anticipated final decision from Collier County in 2026, with potential construction for Corkscrew Grove Villages beginning as early as 2028. Collectively, our four near-term real estate development projects, Corkscrew Grove Villages, Bonnet Lake, Saddlebag Grove, and Plant World, totaling approximately 5,500 acres, maintain their estimated present value between $335 million and $380 million, which we hope to be realized within the next five years. This represents significant value creation potential from just 10% of our land holdings, demonstrating the substantial embedded value within our diversified portfolio. As you can see from the first quarter results and achievements, our approach creates the best of both worlds. With approximately 25% of our land identified for strategic development and 75% remaining for diversified agriculture, we've built a balanced platform for both near-term returns and long-term growth. We believe it is important to emphasize our commitment to returning capital to shareholders, especially as we achieve positive EBITDA for the quarter and generate approximately $34.5 million in recent land sales. Since 2015, we've returned more than $190 million to shareholders through dividends, share repurchase, and voluntary debt reduction. Going forward, we continue to evaluate the best use of capital to enhance shareholder value. Management's comprehensive NPV analysis of our approximately 46,000 acres indicates a market value of assets between $650 million and $750 million. With our current market capitalization of approximately $320 million and net debt of approximately $50.7 million at quarter end, we believe Alico, Inc. represents compelling value for investors seeking exposure to Florida's real estate and Florida's continued growth story. What differentiates Alico, Inc. is our unique combination of strategic land holdings across seven Florida counties, more than 125 years of local relationships and conservation credibility, a proven management team with deep expertise in both agriculture and real estate development, and a balanced portfolio approach with 75% of our land continuing to be used for agricultural activities. On our fourth quarter call, I listed our priorities for fiscal year 2026 to continue our transformation momentum, and today, we are reiterating those priorities. First, to optimize our agricultural operations by maximizing revenue from our diverse leasing programs while maintaining rigorous cost controls across all properties. We have made tremendous progress on this and now have approximately 97% of our farmable land leased. Second, we remain committed to advancing our residential and commercial development project by continuing to progress through the entitlement process for our four priority projects with particular focus on securing final approvals for Corkscrew Grove Villages. Third, our strategic capital allocation approach will balance required entitlement investments with shareholder returns while maintaining the financial flexibility necessary to execute on our long-term strategy. And finally, to pursue operational by leveraging our experienced management team and strong local relationships to execute efficiently across all these initiatives. As we enter our second fiscal quarter, our strengthened balance sheet holding $34.8 million in cash as of December 31, 2025, the January 2026 land sale of $26.8 million, and our reduced operational complexity highlight the fact that we continue to believe we are well positioned to advance along our high-value development roadmap. The Corkscrew Grove Villages entitlement process remains on track for an anticipated 2026 decision by Collier County. And our balance sheet and revenues from our diversified agricultural operations provide the financial resources to execute our long-term strategy. We believe that Alico, Inc. has a business model that unlocks substantial value from our approximately 46,000-acre Florida portfolio while maintaining our commitment to responsible land stewardship. The foundation is in place, and we're excited about the opportunities ahead. With that, I'll turn it over to Bradley Heine to walk through our detailed financial results.
Bradley Heine: Thank you, John, and good morning, everyone. I'll walk you through our first quarter fiscal 2026 financial results, which demonstrate the solid performance of our business model and continued financial discipline. For the three months ended December 31, 2025, we reported total revenue of $1.9 million compared to $16.9 million in the prior year period. The decrease primarily reflects the substantial inclusion of our citrus business. Our Alico citrus segment generated $900,000 in revenue with a gross loss of $6.5 million compared to $16.3 million in revenue and an $8.8 million gross loss in the prior year. While we still had some residual citrus activities, the significantly reduced scale demonstrates our successful exit from the capital-intensive citrus production. Production, land management, and other operations revenue increased 77%, driven by higher rock and sand royalties, and farming lease revenue. This growth reflects diversified revenue streams we've established through our agricultural partnerships. Our net loss attributable to Alico, Inc. common stockholders improved significantly to $3.5 million or $0.45 per diluted share compared to a net loss of $9.2 million or $1.20 per diluted share in the prior year period. This improvement demonstrates the financial benefits of our business model evolution. Furthermore, we achieved positive EBITDA of $2.4 million compared to negative $6.7 million in the prior year period, a $9.1 million improvement. Our adjusted EBITDA was $2.7 million, also compared to negative $6.7 million last year. This positive EBITDA generation validates the cash-generating capability of our new operating model. Our balance sheet remains strong with $34.8 million in cash and cash equivalents at quarter end, providing excellent liquidity. The current ratio improved to 14.39 to one, demonstrating exceptional financial flexibility. Total debt remained stable at $85.5 billion, with net debt of $50.7 million at quarter end. We have $92.5 million available under our credit facility, and our minimum liquidity requirement is just $5.8 million, giving us substantial financial runway. Net cash used in operating activities improved to $5.5 million from $7.6 million in the prior year period, reflecting better operational efficiency. We generated $7.7 million from land sales in the quarter with a gain of approximately $4.9 million. Year to date through January 2026, we have achieved $34.5 million in total land sales, contributing to our strong liquidity position and validating our land monetization strategy. Looking ahead to fiscal year 2026, I'm pleased to provide updated guidance that reflects our strong operational momentum and strategic positioning. We expect to deliver adjusted EBITDA of approximately $14 million for the full fiscal year, which represents a significant improvement from our historical performance and validates the cash-generating potential of our transformed business model. From a balance sheet perspective, we anticipate ending fiscal year 2026 in a strong liquidity position with approximately $50 million in cash. This will allow us to reduce our net debt to approximately $35 million by our fiscal year end, with only the minimum required $2.5 million balance remaining on our revolving credit facility. I should note that these projections assume our current operational plan. However, our strong cash position and improving cash flow generation provide us with significant flexibility for potential capital allocation opportunities. Should we decide to return capital to shareholders during fiscal 2026 through increased dividends, special distributions, share repurchases, or tender offers, our ending cash balance would naturally be lower and net debt correspondingly higher than these base case projections. This guidance reflects the financial strength that we've built through our strategic transformation and positions us well to fund both our ongoing operations and future development initiatives while maintaining the financial flexibility that's become a hallmark of our new business model. Positive EBITDA generation in Q1, combined with our strong balance sheet, demonstrates that we've successfully built a financially stable platform for long-term value creation. The fundamentals of our business model are working as intended. We're generating cash flow from diversified land usage while maintaining the optionality to pursue higher value development opportunities. Now I'd like to turn the call back to John for his closing remarks.
John Kiernan: Thank you, Brad. Our first quarter results demonstrate our commitment to continue utilizing all of our assets to enhance shareholder value. We have a balance sheet and operating structure that positions us extremely well to execute on our near and long-term projects as we continue to unlock the value in our approximately 46,000-acre Florida portfolio. Management's NPV analysis values our land portfolio between $650 million and $750 million. We traded at approximately $313 million as of last night. We believe this represents a significant valuation disconnect that we expect will close as we continue to execute on our plan. Alico, Inc. today is fundamentally transformed. We are well-capitalized, strategically focused, and spread across Southwest Florida. With more than 125 years of Florida heritage, proven conservation leadership, 97% of our farmable land leased, and a clear real estate development pipeline, we're very well positioned to deliver sustainable value creation. Jamie, we'll now open the call for questions from industry analysts.
Operator: Thank you. Please press 1 on your keypad. To leave the queue, press 2. Once again, that is 1 to ask a question and 2 to remove yourself. We'll pause for just a moment to allow questions to queue. We'll hear first from Gerry Sweeney with ROTH Capital.
Gerry Sweeney: Staying warm, Jerry? Trying to. It's getting a little chilly here. But a couple of quick questions on Corkscrew. Well, I think an easy one first. The approval, are we thinking sort of you said 2026. Do you have an idea if this is more of a 3Q4Q type event or just any idea on maybe a little bit not better timing, but, you know, spotted timing on when that could come through.
John Kiernan: Yeah. So we haven't pinned that down, but I would say, you know, from a fiscal year perspective, three or four is, you know, by the September. That is not an unreasonable assumption. But, again, we don't really control the local calendar.
Gerry Sweeney: That's fair. Yeah. Got it. And then assuming approval, what are the key steps next key steps for Corkscrew as you move forward between the approval process and shovels in the ground. Does that include potential partnerships with developers or builders and things like that?
John Kiernan: Sure. I don't think those are mutually exclusive tracks. You know, conversations with National Home Builders and other developers happen as a regular course of business. So, clearly, nothing has been, you know, negotiated or solidified. But you know, we're acquainted with a lot of the national players. I think to be clear, you know, local approval, state approval, and then we need federal approval from the Army Corps of Engineers and Fish and Wildlife. We expect that the federal level will take the longest and nothing really happens until all those approvals are realized and a permit can be issued.
Gerry Sweeney: Got it. That makes sense. And then just switching over to the farmland opportunity. Obviously, I think you highlighted 97% utilization of farmland. Can you discuss are you in a position to discuss you know, what type of maybe cash flow that utilization rate could bring in as we look to, you know, model results going forward?
John Kiernan: No. And I appreciate that. That is a difficult task. At this point, we have not provided any additional forecasted information or given any guidance. But Brad and I'll take that request offline, and, hopefully, next quarter, we might be able to give you a little more clarity.
Gerry Sweeney: That's fair. I just had to ask, but I appreciate it. So that's it for me. Thanks.
Operator: And as there are no further questions in queue at this time, I'd like to turn the floor back over to Mr. Kiernan for any additional or closing comments.
John Kiernan: Thank you, Jamie. I want to thank all of our employees for their dedication during this transition, particularly over the past weekend, where there was a significant freeze event over Florida. And we were doing our best to cooperate with our neighbors to maintain some of our properties. So thank you to our employees for really digging in. I want to thank our board for their continued support of our strategic vision. And to you, our shareholders, for your patience and confidence as we execute this transformation. We look forward to updating you on our further progress on our second quarter earnings call. Have a good day.
Operator: Thank you. This brings us to the end of today's meeting. We appreciate your time and participation. You may disconnect.